Operator: Good day and welcome to today’s ARC Document Solutions Fourth Quarter and Full Year 2014 Earnings Conference Call. Today's conference is being recorded. At this time it's my pleasure to turn the conference over to Mr. Dave Stickney, Vice President of Corporate Communications and Investor Relations. Please go ahead.
Dave Stickney : Thank you, Jason and welcome everyone. On the call with me today are Suri Suriyakumar, our Chairman, President and Chief Executive Officer; Dilo Wijesuriya, our Chief Operating Officer; John Toth, our Chief Financial Officer; and Jorge Avalos, our Chief Accounting Officer. Our fourth quarter financial results for 2014 were publicized earlier today in a press release; the press release and other company releases are available from our Investor Relations pages on ARC Document Solution's website at ir.e-arc.com. A taped replay of this call will be made available several hours after its conclusion. It will be accessible for seven days after the call. The dial-in number is in today's press release. Per our usual practice, we are webcasting our call today and the replay of the webcast will also be available on ARC's website. And a reminder today's call will contain forward-looking statements that fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events and the future financial performance of the company, including the company's financial outlook. Bear in mind that such statements are only predictions. And actual results may differ materially, as a result of risks and uncertainties that pertain to our business. These risks are highlighted in our quarterly and annual SEC filings. The forward-looking statements contained in this call are based on information as of today, February 24, 2015, and except as required by law the company undertakes no obligation to update or revise any of these forward-looking statements. Finally, this call will contain references to certain non-GAAP measures; the reconciliation of these non-GAAP measures is set forth in today's press release and in our Form 8-K filing. Before we begin the call I would like to invite our listeners to join us in Las Vegas at the Venetian Hotel on March 6 for our 2015 Annual Investor Day. For those of you with interest in attending please contact me David Stickney via phone or email using the contact information show in today’s press release or by visiting our investor relations page at our ir.e-arc.com. With these administrative details out of the way I will now turn the call over to our Chairman, President and CEO, Suri Suriyakumar. Suri?
Suri Suriyakumar : Thank you, David. Good afternoon everyone. I am happy to report that 2014 was an excellent year for ARC and its shareholders. Our performance provided us with great confidence that the drivers of our new business segment they delivered stronger, more stable and more predictable sources of revenue in the future. As you have seen in our earnings report today the company achieved its sixth consecutive quarter year-over-year growth since the recession and delivered 4% sales growth overall for the year. We also delivered 100 basis points of expansion year-over-year in our gross margin as a result of our continuing focus on margin improvement measures. When combined with a significantly improved capital structure ARC was able to translate these successes into dramatic improvement in earnings per share as well as healthy growth in its adjusted EBITDA. All in all the company is poised for continued growth in 2015. Our outlook for annual adjusted earnings per share in 2015 is in the range of $0.37 to $0.41 on a fully diluted base. Our outlook for annual adjusted cash flow from operations is in the range of $61 million to $66 million. And our outlook for annual adjusted EBITDA is $75 million to $80 million. Transforming the company has been an ongoing theme for us throughout the recession and its aftermath. While we always will be flexible and quick recognize ways to improve the company, we feel the foundational changes that define the future of our company were in place by end of 2014. Management services are the business line that has led the transformation for us and we have quickly developed into a powerful growth engine. In 2014, Gartner recognized our size and sent in their Magic Quadrant for [MPS] for the fourth year in a row but it is our roster of customers and the size of our engagement that truly defines our achievement. Given how early we're in the life cycle of archiving and information management it might seem odd to rank this business line as the key element in our future but the potential for this business line is enormous. In today’s context businesses have easy access to information of every kind but when it comes to archived information especially in the construction industry most of that information is buried in a basement or stored in warehouse making access and retrieval very difficult, we changed and we happened to do it. Our customers are increasingly looking for easy access to their own legacy information which significantly improved their productivity and reduced their cost. Our cloud based technology and services that store, searches and retrieve large and small format construction drawing provides us with significant advantage over any of our competitors. Our third primary business line is acceptance to our traditional reprographics business and we refer to it as construction document and information management or CDIM. Here again instead of using the print as a medium to distribute documents and information, we are now using the cloud and mobile access as a medium to distribute the same kind of information. The move away from paper and towards the enterprise class cloud based distribution system for construction information will be at the heart of serving AEC projects in the future. Our launch of SKYSITE in January represents a significant step into this new future and Dilo will provide some details later in the call. These three business segments MPS, AIM and CDIM will define us going forward and determine our success. We will help clarify this point when we report our first quarter by shifting our financing reporting format to reflect our new business configuration. Speaking of the year ahead, forecast from all our quarters suggest at nonresidential construction activity is likely to grow at a similar pace towards the experience in 2014. However falling oil prices have continued to pressure larger construction companies. The fact that our customers will be more focused on cost management is actually good news for ARC. We are very well positioned for a market focused on managing expenses considering that our key offerings are designed to reduce cost while increasing our customers’ efficiency as such we’re expecting our sales in 2015 to continue to grow at a pace similar to what we saw in 2014. Our MPS pipeline is robust through though we expect the size of our account into vary more in the year ahead as we begin to address more midsized MPS client. It’s our new regional sales team. We will of course to pursue the top 100 companies in our industry. We will also continue to focus on cost management and optimization of sales and operations in 2015. This is especially important in light of our continued investments in sales marketing and training. We expect to continue these investments at a pace similar to 2014. Now, while we’re very focused on improving sales, we have no intention of comprising of our operating leverage. We have a long and valued legacy of excellent operator and a relentless drive to eliminate unnecessary cost and we will not abandon it and such we expect just EBITDA to continue to improve into 2015 as noted in our forecast. With these ideas as a background for the rest of our conversation, I will pass the call over to our Chief Operating Officer, Dilo Wijesuriya, to provide some details about the sales and operations during the fourth quarter of 2014. Dilo?
Dilo Wijesuriya: Thank you, Suri. For those of you have followed ARC in the press, you would have seen the [instant] generated by our recent launch of SKYSITE. After just four weeks in the market place I am happy to report that many of our existing customers and prospects have signed up for trial. Our webinars and online training sessions have been well received and well attended and our message is beginning to resonate. I look forward to sharing more about our SKYSITE launch with you in the future call. Much of our fourth quarter sales success came from management services year-over-year growth was 12% in this business line thanks to both new business and some important renewals. We recently announced the five-year renewal of our longstanding partnership with Gensler and you’ll soon be hearing more engagements like [Lidos] and CDM Smith. We increased the number of MPS contracts in the fourth quarter of 2014 by more than 165 and we’ve added more than 830 for the year. We were also gratified to make significant progress in our archiving and information management business in the fourth quarter. San Francisco international airport has had many of that terminal drawing and other facilities documents in hard copy for years. Recently they were looking for a way to mitigate the potential of document loss and migrate to a unified digital library. The requirements were very stringent but when we demonstrated the structured organization, deep search capabilities and the turnkey nature of the planned we’ll achieve especially as it relates to engineering documents ARC was an obvious choice of engagement with FFO is for three years and we’re currently in the process of making their documents available on the cloud to more than 125 users. Similarly we have also secure contracted Alaska Airlines to digitize their infrastructure documents in Seattle. Shell Oil in New Orleans is another recent customer. This is the time we've taken our archiving staff and equipment into our customers facilities as opposed to using our own service center for physical scanning and indexing work. After cataloging more than a million images of their New Orleans facility the team and equipment will be moving to Houston to do more of the same. T.Y. Lin International is a world renowned engineering firm whose work includes the recently completed San Francisco Bay Bridge. However we weren't hired initially to archive their drawing but rather their financial documents. Once again the capabilities of our technology and the level of our service drove the deal. They have been very enthusiastic about our capabilities and we're looking forward to expanding our engagement to include other locations and other document types in the future. These are the kinds of jobs that our AIM service was built for and we were very pleased to acquire work with such well known and well respected firms. Color Services continue to post interesting gains in the fourth quarter growing almost 14% year-over-year. We saw strong demand in both the U.S and the UK around the holiday season. Likewise, equipment and supply sales in China saw a significant improvement in the fourth quarter. This improvement [indiscernible] trends we have seen through September due to the slowdown in the Chinese economy and was the main driver of the 7.6% year-over-year growth in equipment and supply sales. Year-over-year sales of traditional reprographics fell slightly more than 4% during the quarter but the comparison is killed. During the fourth quarter of 2013 we produced roughly $1 million of one-time printing business in California due to the approaching expiration of [Title 24] excluding this one-time event our traditional reprographics revenue was flat for the period. And Suri noted earlier the big foundational changes in the company have taken place and building on those foundations include refocusing our sales and marketing resources. SKYSITE is an obvious and special example of such activity but our ongoing focus is on training and optimizing our sales staff. We're also integrating our sales tracking systems building business developments team and developing long-term marketing assets such as advertising programs, web-based marketing and more. Our investment in these activities during 2014 has been disciplined and that discipline will continue in 2015. This covers the significant points of interest in our company's sales and operations, so at this point I will turn the call back to Suri. Suri?
Suri Suriyakumar: Thank you, Dilo. Before running thorough the financials for 2014 I would like to take a moment to introduce. Jorge Avalos to those of you who have not had a chance to meet him, Jorge has been with ARC since 2006 when he joined the company as our Corporate Director of Finance. He is right to the ranks once not a surprise to those of us who have had the pleasure to work with him. His talent, work ethic and passion for the business are obvious to anyone who spends time with him. Jorge is also a public accounting veteran and started with Coopers & Lybrand prior to its merger with Price Waterhouse. We have fortunate to have someone with his skills and experience taking at the helm of ARC's financial organization and we hope you will join us in welcoming him to his new position as our CFO. Jorge I will hand the call over to your now.
Jorge Avalos: Thank you, Suri. I have been enthusiastic about ARC's prospects since the day I joined the company and I am looking forward to contributing to ARC's success in the future. For now however we will take a few moments to revisit the financial highlights of 2014. Our sales performance was notable for both its annual and quarterly growth and reflected the predictable and stable nature of our contracted revenues we have come to expect from our new business lines. The growth in sales which allowed us to better leverage our fixed cost along with our margin improvement initiative were the drivers in our full year gross margin expansion from 33% in 2013 to 34% in 2014. For the fourth quarter gross profit dollars increased by 1.4 million for their strong performance in low margin equipment and supply sales combined with a seasonal fourth quarter drop in the sales from the traditional reprographics drove the 50 basis points decline in gross margin during the period. Adjusted earnings per share grew significantly for the year thanks to our increase in sales, our margin expansion and the dramatic improvement we made to our capital structure. The fourth quarter delivered an improvement of $0.04 per share while our annual adjusted earnings per share nearly tripled to $0.25. Adjusted cash flow from operations in 2014 grew to $54 million versus $47 million in 2013, a 15% increase. As we have indicated in the past our excess cash have been used on targeted investment in our technology development sales and marketing to drive our new technology offering as well as aggressively paying down our longer term debt. In 2014 we paid down 27 million or 40% of our term loan facility. As announced in our press release in November of 2014, we entered into a new $175 million Term A loan with an initial interest rate based on our leverage ratio of LIBOR plus 250 basis points. This is a 350 basis points savings from our previous Term B loan and will result in annual interest savings of approximately $6 million. Our ability to refinance our long-term debt such favorable term was a result of our improved financial performance and our aggressive deleveraging. Our debt to adjusted EBITDA ratio now stands at 2.8 times as compared to 3.2 times a year ago. With our continued financial improvement and plans to continue to aggressively pay down we expect our leverage ratio to decrease even further in 2015 which intern reduces the spread we pay on our long term debt. Annual adjusted EBITDA for 2014 was $72.3 million which is $4 million or 5.9% greater than 2013 outpacing our growth in sales of 4.1%. For an additional perspective on the improvement in our financial efficiency, 34% of our adjusted EBITDA to pay interest in our long-term debt during 2013, during 2014 18% and in 2015 less than 10% of our adjusted EBITDA will be used to pay down our interest in our long-term debt. For a company intend on increasing its value to its -- this is a gratifying achievement. As we look forward into 2015 I expect to see continued gross margin expansion driven by both increased sales and a revenue bias towards higher margin physically oriented offering. As you might expect, however, our expenses will be more moderate than the 360 basis points improvement we have achieved over the past two years. Cash generation remains deeply important to us and as demonstrated in our 2015 forecast we expect another year of double digit improvement in cash flow from operations especially when considering the $6 million head start we have form our interest savings from the recent refinancing. 2014 was an exciting year for us and I’m looking forward to 2015. We’ll rollout our new reporting structure with the first quarter financials in early May and I think this will provide additional clarity about how we are approaching our market and how we will define our success in the future. Suri?
Suri Suriyakumar: Thank you, Jorge. Operator at this time we’re available to take our callers’ questions.
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Brandon Dobell with William Blair.
Brandon Dobell : Couple of questions, maybe you can talk a little bit about the sales force in terms of headcount and productivity metrics or some color for 2014 and how we can think about those same kinds of things in 2015 so should we expect continued additions of people or is it more about productivity, how you’re deploying those people?
Suri Suriyakumar: Right. So Brandon what we did in 2015 in order to driver organic growth especially with the introduction of new products, we developed business development units for each these products. So in terms of product lines for MPS for AIM and for CDIM obviously we focused on CDIM and AIM at the beginning. So we put together or we put in place national director business development and depending on the size of the territories 6, 8 sometimes 10 regional solutions consultant who actually would help with the sales team. So they are not sales, they’re actually market development but they’re sales related, they’re there to drive sales. With regard to sales structure itself we have not changed than lot with regard to the division of sales structure that is very much in place, we’re fine-tuning it as we go alone making it efficient. We are making the territories more efficient. One other feature we have added is that we have started regional sales group. In other words, we used to have the global solutions team which close up to very large accounts and then we have the divisional sales team of approximately 200 people in the local locations, in the 200 locations we have. But we have done now is we’re going after the middle tier of mid-sized account using regional solutions consultant then we have two regional divisional sales director who actually drive this sales team so that’s fundamentally the structure right now then.
Brandon Dobell : Okay got it and is sounds like you’ve mentioned that I think sorry that we should expect continued investment sales and marketing but that sounds little bit more like marketing than it does sales if I am not mistaking some maybe a little color there on how we think about the dollars of investments and how that should be allocated in our 15 models?
Suri Suriyakumar: So all last 2014 at the later part of we’ve ramped up the investments when as we set up the what we recalled business development units and the marketing, so what we’re saying is we’ll continue to keep that in place. Jorge would you like to add some colors?
Jorge Avalos: Yes and since we as Suri mentioned, as we've added them in the fourth quarter then coming into 2015 we’re going to get a full year impact of those individuals and we’re spending more money in the marketing site before the launch of SKYSITE and some marketing around that.
Suri Suriyakumar: So it’s basically then the basic thing about it is what we did in 2014 the last quarter we’ll continue throughout 2015 with modest increase maybe marketing and advertising and things like that because we’re introducing new product.
Brandon Dobell: Got it and then shifting I guess little bit to the customer facing stuffs, the deal that you added in 2014, is there a way to compare to I guess a couple of things compared the deal in 2013 so it would be sale cycle, is there a way to think about the average sales cycle getting shorter is it getting longer maybe the average kind of starting deal size or the [breadth] of the starting deals just trying to get a feel for how much progress you guys are making on sign people up easier and then having those deals to be impactful as you signed them up to the either revenue or deferred revenue?
Suri Suriyakumar: Right, if you take the MPS site Brandon, to give a little bit of color on that, the MPS site we have two segments of the business the business which is at the divisional and regional level where we installed like [indiscernible] reported 800 plus 60 MPS installations. Those are small installations Brandon. Baby is born at the same phase. They’re not going to change whole a lot. You will probably have some growth but they are gain that won’t be impactful compared to the global solutions deals we’re doing with larger customers that is starting get more results, but the sales cycles are still the same. It does not compress the sale cycle but we have more credibility now behind us given the fact that we are now highlighted in the Gartner for be in row. We are the nine largest MPS providing the world and we have that’s many more instances of examples to actually show the new customers we actually breaking into and that phase we expect to increase compared to 2014 as we gathered more momentum on that. And that’s gain the difference there is if we signed a $10 billion company that’s going to be very attractive and if you signed two of them back to back then our growth is going to be very good. But if you signed there $5 billion company or two $4 billion companies just as an example then that rate of installation wouldn’t be as high as when signed two $10 billion company. So gain in the large company the bigger the company the bigger in invest revenue impact we’ll but the overall growth trend is that we will have healthy double digit growth in that space.
Brandon Dobell: Got it and then final one for me maybe for Jorge, how do you think about CapEx and working capital in 2015 given how and I guess you have a pretty shot this year on DSO, is that sustainable or is there a business mix change and it would move that around just try to think about modeling free cash the bigger components outside of cash from operations to be helpful? Thanks.
Jorge Avalos: I think using 2014 as a proxy for 2015 is reasonable estimate. I don’t see that change in materially.
Operator: And we’ll go next to Glenn Primack with Achievement Asset Management.
Glenn Primack: First question within like the guidance, do you have any revenues or profits that you’re forecasting coming in from China and lumpy software type deals?
Suri Suriyakumar: Lumpy software, do we have…
Glenn Primack: Yes, you’ve signed an agreement with the Chinese government during the last year and you had like little benefit I think in the third quarter, fourth quarter you sold the equipment is that the same thing?
Suri Suriyakumar: In the last three months they have been a slowdown in their manufacturing of the machine because they’re upgrading to a new form where and what we have been told is that the second quarter they’re coming up with a new line of machines and we should be back up ramping up our sales on software from the second quarter.
Glenn Primack: Okay but do you have that within your guidance or is that like potentially bonus because you know no one is going to come in?
Suri Suriyakumar: We have estimated a very little on that because sometimes Chinese predictions from those factories are not very -- they don’t smartly predict but we have included a very small number in our prediction.
Glenn Primack: That’s good because usually got to like either divide by a 1,000 or multiply a 1,000 unlike the demand on it.
Suri Suriyakumar: So thanks, [indiscernible] Glen is what we are saying
Glenn Primack: Cool. The NOLs what's left -- when you get to pay cash taxes effect will that be..?
Suri Suriyakumar: Cash taxes -- we still have roughly $90 million in cash taxes, so conservatively I am saying the next to three to five years we won't be paying taxes.
Glenn Primack: Okay. Which kind of takes me to like EPS I mean you give guidance on it but from a cash perspective my guess will be closer to a dollar than you are to $0.40?
Suri Suriyakumar: Yes frankly we use a pro forma effective tax rate of close to call it 38% to 40% but our true tax cash rate is probably under a $1 million for the year. So if you are to back that out and use a cash tax rate I see where you are getting with your numbers.
Glenn Primack: Okay. Great. And then as you sign more I guess midsized or even wells, are you getting more visibility into 2016 with this new model relative to like the old American reprographics?
Suri Suriyakumar: At least that's our hope Glenn I mean we hope that now that we've aligned these three business segments that we would be able to give a little more visibility but I think as the year progresses and for the first time Jorge will report that in the first quarter of 2015. We will be then able to give more greater visibility into each of those segments as we see it.
Glenn Primack: And then let's see cash taxes, visibility, Chinese government, lots of notes here.
Suri Suriyakumar: That's good.
Glenn Primack: There is another Jorge, oh you did a great job on like well the [shout off to] John Toth like he did that while he was there -- the two refinancing's, right?
Jorge Avalos: Yes.
Glenn Primack: I think you are approaching already your target leverage ratio, right? You want to get underneath too or is it two-ish?
John Toth: Yes we've always said our optimal is if we get closer to say 1.5 I mean we are at 2.8 too close this year but if you factor in our aggressive debt pay down which we continue to -- we plan to continue to do in 2015 and the increase in our EBITDA we're quickly approaching those numbers. That's the idea Glenn obviously we want to -- what happened in 2014 was phenomenal I mean yes we were able to pull that off within what 12 months -- 9 months actually refinancing which is great and we expect certainly to keep the same pace with that in 2015, so that we can really bring this under control.
Suri Suriyakumar : But no I will say additionally we're incentivized to deleverage under our new term rate loan in the sense as our leverage goes down, so does the spread. That's another benefit there.
Glenn Primack: Yes and the last thing I was going to say like going through that document you are not precluded from buying back stock and given the trajectory in the top-line is better your EBITDA margins are really good and you have generated bunch of cash and your stock says like I don't know under 10 times on cash EPS basis per share?
Suri Suriyakumar: Absolutely.
Glenn Primack: Is there stuff in there you guys looks like they will look into?
Suri Suriyakumar: Yes I mean so we want to obviously have all these options open Glenn. I mean when we negotiate I think we make sure we're covered on that, so that we will have absolutely have all the options so that we can implement what we think is right. So we're looking forward to crossing that bridge when we get there and I think we're having some...
Glenn Primack: All right. Well I will see you at -- Vegas.
Suri Suriyakumar: Las Vegas exactly for our Investor Day, we're looking forward to that Glenn.
Glenn Primack: Yes and then like Jorge will be able to tell me how he has like his own little cost center setup for MPSA, CDIM and he is watching like the productivity just like over the last caller asked about, cool.
Operator: And we will go next to Matt Blazei at Lake Street Capital Markets.
Matt Blazei: My question is really focused on some of your commentary regarding the end markets. I am a little bit less enthusiastic about the outlook here told in to '15 than maybe you did last quarter, is that a function of what's going on in the energy sector or could you just kind of give me some color on what you are seeing out there on the end market side?
Suri Suriyakumar: Yes Matt basically what we are sensing with the large engineering construction companies and there is no question the drop on oil price has really stood the waters up for these large engineering companies many of them heavily invested until recently that was a huge growth sector for all the engineering construction companies. So our management services side and things like that used to be largely in engineering and easy companies. So there is no question that a -- and in addition to that the non-residential if you look at the statistics for non-residential there is not a huge big growth carry it is going to keep pace with what we did in 2014 that's what the projections show that combined with this issue related while we’re little skeptical about where the market will go, but having said that what I feel and encouraged about is their pressure to actually improve performance on all these companies and that is very good for us. So I am really bullish about the fact that we can walk-in and say, look, if you engage, if you give us engagement we can show you how we can reduce money. So on the one hand overall for the industry there doesn’t seem to be a very strong growth cut but within the scope of where the industry is I think the potential for us is still very good. So I’m optimistic about --
Matt Blazei: You said previously that you don’t have much direct exposure to energy companies of the energy sector, but it sounds like you’re indirectly expose through some of your large E&C customers.
Suri Suriyakumar: That’s right. We don’t directly work with any -- I mean we -- certainly some of them but not directly connected to any one of them, but almost all of the large engineering companies have a significant stake in the energy sector. They’re building in the energy sector and because we serve -- company therefore we’re somewhat impacted by that. But like I said, I feel like it’s an opportunity for us now because they’re being sensitive to cost and we are the one who can actually handle that.
Matt Blazei: A question for you, I know you’re changing and reporting Q1 but where were guys like following your legacy model here, where was that product line to be?
Suri Suriyakumar: The short answer is it will fall under CDIM so the way we look at the legacy business map the legacy business is distribution of documents and information using print as a medium which we call reprographics. Reprographics fundamentally is distributing documents and information using print as the medium. And along with that comes the rest of that holding the lot of pickup and delivery buying being logistics -- documents as direct effect. The new business which we call CDIM is distribution of documents and information using cloud and mobile access as the medium. So SKYSITE is the primary driver for CDIM, it allowed you to store the documents in the cloud distributed efficiently on real-time basis dynamically creating the current set. But on top of that we will have overflow work. We will have NPS in the worksite. We will have color work. We will have archival facilities for those projects. So CDIM is the entire component of construction document and information management. The document distribution -- which drivers the cloud part of it is called SKYSITE. Does it make sense?
Matt Blazei: Okay. I’ll be looking forward to those reclassifications here.
Suri Suriyakumar: Absolutely.
Matt Blazei: Another question, this is probably for Jorge, you paid down $27 million I think you mentioned in principal in ‘14 is there goal for ‘15 is there range that you’re looking for pay down in ‘15 given your metrics of cash flow, you provided.
Suri Suriyakumar: Yes, we’re looking to continue to the same pace we did in 2014 and 2015 so being in that $27 million range. We don’t know how the year progresses, so there might be opportunities there to be a little bit higher or other opportunities might be a little bit lower.
Matt Blazei: Okay. Thank you guys.
Operator: And we’ll take a follow up from Glenn Primack.
Glenn Primack: Yes, just, I guess in conjunction with the last questions. So a customer like, and I don’t know for the customer or not but like Jacobs Engineering that has some exposure on energy and the new CFO, Kevin Berryman, someone like him will come in and say, where we can we save money? And that would be potentially the entry that you can make into that organization, so that’s the way to think about it?
Suri Suriyakumar: Yes, that’s -- I think definitely a company like Jacobs obviously everybody knows Jacobs is the big engineering company. I think they have expected to do something like $10 billion to $14 billion in the year 2015 revenue and I’d think today is the substantial amount of work related to what they’re doing in -- and it will be a fantastic opportunity for us to show them what we can do and any chance like that we would jump on it.
Glenn Primack: So today they are not a customer but now it’s like an emphasis on, we’re going to save some money potentially it’s in your sites.
Suri Suriyakumar: Absolutely, we do all-in-all look for Jacobs in various processes --
Glenn Primack: So for other E&C companies that are exposed to the energy sector, you potentially be outsource more because you’ll save the money that you can -- if you manage the print and that’s the opportunity relative to, they’re not going to print anymore paper.
Suri Suriyakumar: Absolutely, when we take all contracts like this Glen what basically we do is, we not only reduce the work and reduce their body but we have also introduced techniques to improve on use of behavior and then further streamline and consolidate the printer cost management and really substantially reduced cost for them, so it’s a great opportunity, we’re excited about business we’re within.
Matt Blazei: Okay and you got the rose ROIs from CH2 impelling the other customers that you can put on this point for the new CFO?
Suri Suriyakumar: Absolutely we have so many of those clients in our portfolio that we can give them enough examples as to what we can actually deliver to company of that caliber and size but specially they’re globally companies spread across North America.
Matt Blazei: Great, have you seen any uptick in the UK?
Suri Suriyakumar: UK is looking good for the starters it’s looking good, there is color which I’ve picked up last year but we’re hoping that we’ll have more MPS engagements in the UK into 2015.
Operator: And at this time we have no further questions, so I would like to turn the call back to your presenters for any additional or closing remarks?
Suri Suriyakumar: Ladies and gentlemen we appreciate your attention and continued interest in our ARC Document Solutions. We hope to see some of you at our Investor Day on March 6th in Las Vegas at The Venetian Hotel and Resort. Have a great evening. Bye-bye.
Operator: This does conclude today’s conference. Thank you for your participation.